Operator: Hello, everyone and welcome to PubMatic's Third Quarter 2023 Earnings Call. My name is Christian [ph] and I will be your Zoom operator today. Thank you for your attendance. This webinar is being recorded. I will now turn the call over to Stacie Clements with The Blueshirt Group.
Stacie Clements: Good afternoon, everyone and welcome to PubMatic's earnings call for the third quarter ended September 30, 2023. This is Stacie Clements with The Blueshirt Group and I'll be your operator today. Joining me on the call are Rajeev Goel, Co-Founder and CEO; and Steve Pantelick, CFO. Before we get started, I have a few housekeeping items. Today's prepared remarks have been recorded. After which Rajeev and Steve will host live Q&A. [Operator Instructions]. A copy of our press release can be found on our website at investors.PubMatic.com. I would like to remind participants that during this call, management will make forward-looking statements, including, without limitation, statements regarding our future performance, market opportunity, growth strategy and financial outlook. Forward-looking statements are based on our current expectations and assumptions regarding our business, the economy and other future conditions. These forward-looking statements are subject to the inherent risks, uncertainties and changes in circumstances that are difficult to predict. You can find more information about these risks and uncertainties and other factors in our reports filed from time to time with the Securities and Exchange Commission, including our most recent Form 10-K and any subsequent filings on Forms 10-Q or 8-K which are on file with the Securities and Exchange Commission and are available at investors.PubMatic.com. Our actual results may differ materially from those contemplated by the forward-looking statements. We caution you, therefore, against relying on any of these forward-looking statements. All information discussed today is as of November 8, 2023 and we do not intend and undertake no obligation to update any forward-looking statement, whether as a result of new information, future developments or otherwise, except as may be required by law. And today, in addition, today's discussion will include references to certain non-GAAP financial measures, including adjusted EBITDA, non-GAAP net income and free cash flow. These non-GAAP measures are presented for supplemental informational purposes only and should not be considered a substitute for financial information presented in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measures is available in our press release. And now, I will turn the call over to Rajeev.
Rajeev Goel: Thank you, Stacie and welcome, everyone. We delivered above expectations for both revenue and adjusted EBITDA. The upside in revenue was driven by an increase in monetized impressions across all formats. And once again, our durable model led to increased profitability, margin expansion and healthy free cash flow. This quarter, we continue to add new logos and deepen existing publisher and buyer relationships. Total activity from SPO deals grew to an all-time high of 45%, aided partly by the launch of Activate. And customers and partners are seeing great results from our expanded solution suite.  This quarter highlights the momentum we're building in the business and fuels our growth expectations for the fourth quarter of mid-single-digit year-over-year revenue growth. I recently spent a week with customers and prospects at Advertising Weak New York and I've never been more energized about our long-term growth opportunities. Our customer interactions indicate that sell-side technology that sits closest to the publisher and therefore, to the consumer is key to driving long-term sustainable growth in the programmatic ad market. Several key trends are driving this and we believe our buyer and publisher relationships are strengthening as a result. First, buyers are embracing programmatic advertising to automate the purchase of high-value connected TV and video ad inventory.  Sell-side technology companies like PubMatic enable us access at scale across the open Internet. Second, consumer privacy changes have resulted in increased global regulation and the looming deprecation of the third-party cookie. These trends have fueled tremendous innovation across the industry and many new solutions are best leveraged when the technology sits closer to the consumer and publishers. At PubMatic, we are the technology platform at the point of consumer consent. And lastly, as our industry matures, there's been an ongoing imperative for greater control over the digital advertising supply chain and increased efficiency across the ecosystem. These trends are forcing publishers and buyers to re-evaluate and reconstruct their supply chains to meet their evolving needs.  PubMatic is a key technology partner in this process. Our success stems from our owned and operated infrastructure that provides greater control over the supply chain and we believe is more efficient than alternatives in the market. This need is a driving force in our development of Activate. Since our inception, we have prided ourselves on our ability to anticipate market trends and build for the future. I'm extremely proud of the team and the new bar they have set for product development and speed to market. Our pace of innovation has accelerated and engineering productivity has increased over the course of the year. fueled in part by generative AI, we have and continue to accelerate software development, automate software testing and optimize code within our infrastructure. As a result, we released 2 major software products this year, Activate and Convert with ongoing feature releases already in the works.  We also added a record number of impressions processed with an annual year-over-year reduction in CapEx by 70%. Our durable financial model allows us to invest for future growth, even amidst a challenging economic environment. We believe this model alongside our innovation vision for how the ecosystem is evolving, our expanding product suite and our differentiated infrastructure uniquely positioned PubMatic to gain market share. I'd like to spend some time today talking about how our innovative solutions are driving deep customer engagement in key areas of industry growth and set the stage for market share gains ahead.  In May, we launched Activate to seamlessly connect buyers and publishers for premium CTV and online video monetization which represents a $65 billion TAM expansion controlled from the sell side. 6 months in, we are already seeing a tremendous response from buyers and publishers with an active pipeline of more than 50 advertisers, agencies and campaigns. Most recently, we launched Activate in the Asia Pacific region with partners including Dentsu APAC, IQIYI, Kinesso India, a unit of IPG, Madison Digital and Wishmedia. Central to our conversations around ACTIVATE is the need to simplify the digital advertising supply chain and drive greater efficiency. This was a driving force for one of our launch partners, global confectionary and pet care company Mars. Mars, a top 30 global advertiser, is innovating its supply chain for digital advertising with a particular focus on increasing efficiency in order to increase return on ad spend and lower its carbon footprint. Mars sees Supply Path Optimization and Activate as key drivers of their strategy, particularly for high value growth formats such as CTV and online video. Mars exceeded their campaign objectives with their initial campaign tests in Q2 and Q3 resulting in measurable ROI improvements. As a result, Mars is significantly expanding its use of Activate to more products and ad campaigns. I think Ron Amram, Sr. Director of Global Media at Mars, explained it best when he said and I quote, "We are excited about our growing partnership with PubMatic. Mars is committed to creating efficiency and sustainability in our advertising supply chain and Activate helps us get closer to the publisher and consumers which contributes to the overall growth of our business." Agency holding companies are also seeing success with Activate. One global agency expanded its SPO relationship to include the use of Activate in order to drive better campaign performance, particularly for CTV, on behalf of their client. With the structural efficiencies and real-time supply optimization benefits of Activate, the agency was able to exceed the client's cost per user acquisition target by over 20% and it has since expanded its use of Activate to more campaigns and more accounts across their client portfolio. With the incremental though still early benefit of Activate, SPO as a share of activity has grown significantly to 45% in Q3 as both agencies and major brands sign strategic deals to grow their businesses with PubMatic. I'm particularly excited about this metric, as it highlights the upside growth potential inherent in our business. First, buyers continue to consolidate ad spend across a smaller number of platforms. When the ad market returns to robust growth, we believe PubMatic should disproportionally benefit and so should our publishers. And second, SPO activity comes from some of the largest ad buyers and agencies in the world. These are typically multi-year, sticky partnerships. At almost 50% of total activity on the platform, we've reached another inflection point of sizeable, durable scale and growth. This increased buyer activity strengthens and expands our publisher relationships. Through our SPO offerings, premium publishers can access ad budgets from brands they had been unable to reach previously. We are particularly excited about the growth potential in CTV, where PMP and programmatic guaranteed transactions are most prevalent. Local Now, an ad-supported streaming service owned by The Weather Channel that delivers local, geofenced content, wanted a technology partner that has proven expertise in CTV PMP and programmatic guaranteed deals, alongside unique advertiser demand. With PubMatic, Local Now was able to optimize data available to buyers, curate and package their inventory and audiences and leverage our extensive SPO relationships, resulting in a more than tripling of their CTV revenue via PubMatic. The benefits that Local Now gained are not unique. We've seen significant growth in our PMP business over the past year, with nearly a third of our revenue now coming from these transaction types, up nearly 10 percentage points year-over-year. Much of this growth is coming from CTV, as we continue to acquire new streaming publishers at a rapid pace as they look to secure ad dollars shifting from linear TV to CTV. We're also expanding technology partnerships across the ecosystem. Just last month we announced an expanded partnership with leading Connected TV advertising platform FreeWheel, a Comcast company, creating a direct path for buyers to access a broad set of CTV inventory via Activate. We expect this expanded partnership to increase CTV revenue flowing through Activate. Our focus on the fastest growing segments of the industry led us to further expand our technology into commerce media, a natural expansion given our existing customer base. We estimate that Convert grows our addressable market by $10 billion and includes monetization of both onsite and offsite media. While it remains early days with Convert, there is strong market recognition for the need for an integrated platform that addresses core use cases from sponsored listings to audience extension to deal ID generation. For large commerce businesses, they can seamlessly manage inventory and consumer data in one system that brands can access and lower operating costs. Partly driven by the success of existing customers, our pipeline of Convert opportunities has jumped 40% in just the past three months. The expanding opportunities for Convert supplement our strong existing business with retailers who leverage our products to drive monetization. For example, Zulily, the online superstore for moms, is using PubMatic to manage their onsite inventory, embracing our OpenWrap header bidding wrapper to maximize monetization from their inventory. Other commerce sites leverage PubMatic for offsite audience extension through Connect. As privacy regulation continues to increase around the world with the consumer at the center of how their data is used to deliver relevant advertising to them, through Connect we have developed and scaled a portfolio of approaches to help publishers and ad buyers move beyond the limitations of anonymous targeting solutions such as third-party cookies or Apple's IDFA. As the primary programmatic advertising platform at the intersection of the consumer and the publisher, we sit at the nexus of consumer consent which we believe is a long-term structural advantage. In many cases, Connect's offerings are superior to the cookie. They provide for consumer privacy and choice as well as deliver increased ROI for advertisers. As the timeline for third-party cookie deprecation potentially draws nearer, we are seeing increasing adoption of our solutions. Already, nearly three quarters of impressions on our platform have alternative targeting signals attached other than the cookie and we are confident that the remaining quarter will transition as well. Regardless, there is no shortage of impressions for buyers to transact on within our platform, with hundreds of billions of daily ad impressions with alternative targeting signals available. We are now integrated with 29 alternative IDs with a varying mix depending on the country. These IDs drive increased ROI for advertisers as well as an increase in publisher revenue and CPMs. For example, Philo, the leading entertainment focused TV streaming service, implemented Trade Desk Unified ID 2.0 on our platform in Q3 and saw an almost doubling of revenue as a result of buyers' ability to deliver more relevant ads to the consumer. We have also scaled Connect to support dozens of global data providers, further extending privacy-safe, targetable data available for buyers. The end result is again, higher ROI for the buyer and incremental revenue for our publishers. For example, Audigent utilizes Connect to offer buyer’s premium, multi-publisher curated data sets to meet advertisers' goals across CTV, online video, mobile and display inventory at scale. And in an industry-first, buyers now have access to Experian's unique commerce media targeting capabilities, including data such as spending models, property data, automotive audiences and shopping preferences. PubMatic is the first and only SSP with direct access to this data in both the United Kingdom and United States. Lastly, we are actively working with Google to test the Privacy Sandbox APIs, specifically Topics and Protected Audience which allow for targeting user cohorts and aim for providing relevant advertising to those users while safeguarding their privacy. As digital advertising evolves from cookies to various privacy safe approaches, we will continue to further scale Connect and provide buyers with the targetable audiences and media that they are looking for. The role of sell-side technology and in particular PubMatic has never been more compelling as publishers look for unbiased technology partnerships to help them drive growth and buyers seek to simplify their technology stacks to become more efficient and to navigate privacy changes. As a result, we are seeing increased interest and adoption of our technology across our product suite. The third quarter marks strong execution and our steadfast focus on innovation, strengthening customer relationships and driving operational efficiencies. This momentum positions us well for growth opportunities ahead and sets the foundation for the fourth quarter and what we believe will be an inflection point for growth. I'll now hand it over to Steve for the financial details.
Steve Pantelick: Q3 revenue was $63.7 million and adjusted EBITDA was $18.2 million, or 29% margin, both above guidance. We exceeded our revenue expectations for the quarter by selling more video and display impressions than projected. We also continued to execute against our key operating priorities this year which sets us up well going into 2024. We converted the majority of our revenue beat into incremental profit dollars which highlights our ability to expand margins. Our CapEx optimization and working capital efficiency resulted in $17.2 million in free cash flow, the highest quarterly level in nearly two years. Turning to the revenue details, we saw solid improvements for both video and display revenues as the quarter progressed. We drove an incremental 10% monetized impressions above expectations for the combined August and September periods. And CPMs were relatively stable from July onwards. These positive factors helped us offset a challenging July and allowed us to substantially close the gap to our prior year revenues. Omnichannel video revenues came in better than expected and grew sequentially from Q2 by 7%. While down approximately 4% [ph] year-over-year due to the soft July, we saw monetized impressions accelerate sequentially through the quarter. As a percent of total revenue, omnichannel video revenues increased to 33%. Display revenues were 67% of total revenue and declined less than anticipated at 4% [ph] year-over-year. Revenues improved sequentially through quarter driven by incremental impressions sold. These display results were particularly notable as we managed through Yahoo's technology transition related to its own and operated inventory which is predominantly desktop display. Yahoo has now shut down its sell-side platform. We anticipate it will take several quarters for us to ramp up Yahoo monetization as they migrate their inventory to a new technology stack. In Q3, our revenues excluding Yahoo owned and operating inventory grew in the low single digit percentages on a year-over-year basis. Over the last several years, Yahoo's proportion of our total revenue has declined as we have expanded and diversified our customer base and increased our revenue mix towards faster growing video formats. In the third quarter, Yahoo's revenues represented less than 5% of our total revenues. On a trailing twelve-month basis, Yahoo revenue represented 9% of total revenue. In terms of ad vertical trends, we saw improving growth through the quarter for the majority of our top 10 ad verticals. We saw double digit growth for the Automotive, Food & Drink, Travel, Technology and Business verticals. Shopping increased sequentially by about 10% from Q2 but remained below prior year levels. Overall, our top 10 ad verticals grew 8% year-over-year in aggregate. We continued to drive efficiency and optimization of our infrastructure that contributed to our strong financial results. On a year-over-year basis we have increased our impression capacity by over 20%, through software optimizations with limited CapEx. We anticipate expanding our gross margin in the future as a result of these efforts. On a trailing twelve-month basis, our cost of revenue per million impressions processed declined by 9%. Q3 GAAP operating expenses were $38.2 million or approximately 15% year-over-year increase. GAAP net income was $1.8 million, or $0.03 per diluted share. Non-GAAP net income which adjusts for unrealized loss on equity investments, stock-based compensation expense and related adjustments for income taxes was $7.6 million, or $0.14 per diluted share. Turning to cash, we ended the quarter with $171 million in cash and marketable securities and no debt. We generated $23.8 million in cash from operations and $17.2 million in free cash flow. Our priority is to drive shareholder value. Our healthy and consistent cash generation fuels innovation for long-term growth and allows for strategic capital allocation. As of October 31, we have repurchased 3.3 million shares of our Class A common stock for $46.6 million in cash. We have $28.4 million remaining in the repurchase program. Turning to our outlook. Our Q4 has started out on solid footing with our October revenues growing both sequentially and year-over-year in the single digit percentage range driven by increased monetized impressions. Importantly both omnichannel video and display revenues were up year-over-year. In terms of ad spend by vertical, the majority of the top 10 verticals improved sequentially through October. Nevertheless, given current macroeconomic and geopolitical conditions we remain cautious on brand advertising spend and accordingly have broadened our Q4 outlook range. Our outlook assumes that CPMs remain stable and general market conditions do not significantly deteriorate. Q4 revenue is anticipated to be $76 million to $80 million, or approximately 5% year-over-year growth at the midpoint which includes the impact from the Yahoo transition referenced earlier. For the full year, we expect revenue to be approximately $261 million at the midpoint. In terms of Q4 costs, we expect to continue to benefit from our long-term focus on efficiency and improving productivity of our infrastructure and team. We anticipate that our Q4 cost of revenue will be similar to Q3's level. We anticipate that our operating expenses will increase from Q3 in the low single digit percentage range as we continue to invest in our platform and people for long-term growth. Given our revenue outlook and optimized cost structure, we expect Q4 adjusted EBITDA to be in the range of $32 million to $35 million or approximately 43% margin at the midpoint. For the full year, we expect adjusted EBITDA to be in the range of $71 to $74 million or approximately 28% margin at the midpoint. This full year adjusted EBITDA range includes $5.7 million of bad debt expense related to the bankruptcy of an ad buyer in Q2. We anticipate our full year CapEx to be in the $10 million to $13 million range, approximately 70% lower than 2022. In summary, we believe we have built a resilient and durable business. Strategic investments we've made are beginning to deliver results. We also continue to make progress on the three operating priorities that I outlined last quarter. Number 1, Generate significant free cash flow. Through the first nine months of 2023, we have delivered more than 85% of 2022's full year level, Number 2, Position ourselves for revenue acceleration as ad spend and CPMs stabilize. This year we have focused on building deeper relationships with publishers and ad buyers, increasing our supply path optimization relationships and expanding our TAM by over $75 billion [ph] with our Activate and Convert product launches. We've also optimized our infrastructure to increase capacity and grow monetized impressions. This focus led to our out-performance in Q3 and, we believe, has created an inflection point in terms of revenue growth. Number 3, Establish a new level of efficiency in our cost structure that will lead to margin expansion in 2024 and beyond as we continue to scale higher value formats like CTV and online video. In conclusion, we are proud of our team's ability to execute our operating plan and excited about our growth momentum as we close out the year. With that, I'll turn the call over to Stacie for Q&A
Operator: Thank you, Steve. [Operator Instructions]. Our first question comes from Matt Swanson at RBC.
Matt Swanson: I think I want to start off talking about the display business and kind of what your assumptions are in the Q4 and if you've given any thoughts to 24 because I'm sure it to feel like you're a great macro obviously and it really wasn't but you performed really well in that side compared to all my checks in terms of how much macro pressure there was in display. So maybe if you could talk a little bit about like company-specific, what parts are under your control and what aren't and what you're doing to execute through a challenging macro for a major revenue line for you?
Steve Pantelick: Sure. Well, great to Connect Matt. So let me just start out with commenting briefly on Q3 but it certainly feels to our Q4 expectations. So in Q3, our outperformance was driven by incremental lionizing pressures on our platform. And if you just step back and think about what that implies for us as a company, what we can control, we've been working over the last several quarters and years to optimize our infrastructure and this has increased our capacity and we privatized higher-value formats. And we're seeing great progress, obviously, on video impressions we can get into. But we also have seen continued progress on display volume growth. And so to your point about the macro, the macro has largely affected CPMs. But because we've been staying focused on our customers and the infrastructure, we're seeing really good volume trends in display. And the other aspect to note is that we stay focused on strengthening our relationships with buyers.  As Rajeev mentioned that we've been an all-time high, 45% of total activity. And clearly, we're starting to see the early stages of activate ramp-up. We're seeing SPO helped with private marketplace deals, PG deals. But really, overall, as an omnichannel platform, we're focused on optimizing the infrastructure, focusing on relationships and that certainly had an impact benefit to display. And so my expectations going into the fourth quarter is that we can continue to see robust volume growth in monetizing presses. And I anticipate that the fourth quarter potentially is going to be above year-over-year growth. So that indicates sort of the fruits of our labor.
Matt Swanson: And then maybe kind of on the other side of the question you mentioned ACTIVATE invert, $75 billion TAMs. But thinking about -- you got to start somewhere with a number that big. Where are like the most actionable places do you think we'll start seeing this show up even more so in '24? I guess kind of what -- what part of that $75 billion seems the most achievable near term.
Rajeev Goel: So where we're seeing, I think, the early signs of success are really around premium ad formats. So that's connected TV and its online video. These are obviously high CPM formats, where, from a buyer perspective, having efficiency and control over the supply chain yields the greatest impact, right? So if we're thinking about a $10, $20, $30 CPM versus a display CPM that might be in the low single-digit CPMs. So CTV and online video and then I think particularly for non-bidded transactions, these are aromatic rate transactions and fixed price private marketplace transactions, where the buyer is looking for maximum reach, particular audiences and I think ACTIVATE is really well positioned in those areas. So that's really where we are focused. I think over time, we'll see growth as we enter a variety of different ad formats and transaction types as we get deeper into the buyers.
Operator: Our next question comes from Shweta Khajuria at Evercore Capital Markets.
Shweta Khajuria: I guess just one question from me to Steve on the Q4 guidance, please. So you sound confident in your guidance. Just help us please lay out the puts and takes for both revenue and EBITDA, the visibility you have, it's November 8, you still have 1.5 months to go. And any incremental contributions that you're accounting for this quarter that weren't necessarily there last quarter. Excuse me, not last quarter, last time this year in Q4.
Steve Pantelick: So let me start out with the core aspects of our outlook. And that's first, we're assuming that CPMs are going to stay relatively stable and that's what we've seen since July, relatively stable. We also expect, as is typical to this time of year, a seasonal uptick. It is a bit muted given sort of the macro factors that exist across the world. And so -- but we do expect CPMs to remain relatively stable. But on the back of the earlier comments that I referenced about monetize impressions, we've seen great progress in the August, September period and that continued into October. Overall, October revenues are going to be over 5% growth on a year-over-year basis. So that's a really big inflection point for us. That's the first time at that level this year. And that reflects the key drivers of driving both video impressions and display impressions. And then, as I referenced in our prepared comments, the guidance also includes the transition that's going on with the Yachtintechstack [ph]. And if you were to strip that out, we actually are -- have a guide of about 8% year-over-year growth. Now the confidence that I have is predicated on recent trends and we try to take a balanced approach. But also, it does reflect the continuation of many of the initiatives that we started multiple quarters ago, starting out with SPO that continues to be a very important tailwind for us. Our strategic focus on expanding publisher relationships and our new product innovation; all of this contributes to our momentum. And taken together, our performance in Q3, plus the core volume trends that we're seeing gives us a positive view. Now, of course, there's a lot going on the macro. And to recognize that we have broadened our revenue outlook for the fourth quarter from 7.6% to 8%. And we think that is appropriate given sort of the macro environment. And some of the things that are incremental clearly are our new product development and we're starting to see the ramp up. And so that's something that's us at early stages. But we have multiyear runway with activated and convert. And so we are looking forward to that contributing.
Shweta Khajuria: Okay. Steve. Sorry, just a quick follow-up. Did you call out any headwinds that you may have seen from the reward at all? Or did you see any impact.
Steve Pantelick: Yes, I would say that the overall category that seems to be ultimately affected the most is news. And we had already seen a deprecation of news over the last 1.5 years. And news is not inside of our top 10 ad verticals. So for us, it's relatively muted.
Operator: Our next question comes from Justin Patterson at KeyBanc.
Justin Patterson: First, a question for both of you. Just in terms of this Yahoo! transition, I appreciate that that's headwind right now. But as this kind of transitions through to the new tech stack, should we think about this as potentially being an opportunity within the overall business again? And then just secondarily, we've seen more and more SSPs sign up for OpenPath. What's your latest thoughts on teaming up with Trade Desk around OpenPath?
Rajeev Goel: Sure. Justin, I can start with that. So just on Yahoo!, I think it is a growth opportunity going forward. So as Steve commented on their migrating, they've shut down their historical SSP or tech stack. And then, they've transitioned to a new third-party tech stack. So I do think there's some upside opportunity there. So we're working closely with them. They've been a great long-term partner. But I think there's work to do over the next several quarters. Steve, anything you want to add to that before we turn it over to OpenPath.
Steve Pantelick: Yes. I concur with your description, Rajeev, I think the way we're looking at it is we've been a long-term partner with Yahoo! but we are confident that we can continue to be a very positive partner in the future and it's based upon our innovation and our focus. So I fully expect that business to continue to ramp.
Rajeev Goel: Great. And then Justin, with respect to OpenPath, so we work, I think, quite closely with Trade Desk. They've been a terrific long-term partner for us and continue to be so. We talked about the UID2 example. So I think we're very open to working with Trade Desk in a variety of different ways. And we've got a road map in front of us. They've got a road map in front of them, I'm sure and we'll see where we go in the future.
Operator: Our next question comes from Jason Helfstein, Oppenheimer.
Jason Helfstein: So just -- can you just clarify on CTV. So did you see pricing stabilize, I guess, as we're like in October? Or is it basically volume has stabilized. Maybe comment, Steve, on how the trends you show on CTV impact of the gross margin in the quarter? And then Rajeev, just like a longer-term question, with the bifurcation of IDs, making it kind of more confusing for advertisers, it seems like it makes them more aligned upon their DSPs. Just how does that kind of play into your strategy?
Steve Pantelick: Sure. So with respect to CTV pricing, the statement that I made was relative to stability to July. As I called out last earnings that the overall macro pressure has -- macro environment has put pressure on CPMs over the last year. But the deposit base from our perspective, it's been relatively stable since the end of July. And so the benefits that we're seeing is really our monetized impression. So more impressions that we are selling across all formats, CTV being an important one. And we saw a very strong growth in the third quarter, monetized impressions for both video and display, as I referenced. And we expect, for example, in the fourth quarter, video to have double-digit monetized present growth on a year-over-year basis.  So what you're seeing is the foundation of our business which is volume really is quite healthy and we're just navigating through sort of the current environment. Now from a gross margin perspective, there are many things that we do to grow and support that, not the least of which, of course, is the optimization we've done on infrastructure. On a year-over-year basis, we are going to be -- have reduced our CapEx by 70%. The majority of that goes into the cost of revenue line. So my expectation going into the future is that our gross margin will continue to tick up. And then we'll have the incremental benefit as CTV revenues grow and only video revenues grow because the marginal profitability for those formats are quite high. Overall, we reached 33% of overall revenues coming from video in the third quarter and I anticipate some share gains in the fourth quarter as well.
Rajeev Goel: So Jason, on your ID question, I commented on 29 IDs now integrated into our platform. So that, I think, speaks to the level of complexity and choice or optionality that buyers have. The key focus for us is really on interoperability. So making sure that whatever idea, a particular buyer chooses, they can find a maximum amount of inventory or impressions on our platform relative to those ideas. But I think the broader trend here is really the increasing relevance for sell-side technology in the ecosystem. So the technology that sits close to the consumer and the publisher which, of course, is where we sit is increasingly important because typically IDs are only one part of an advertiser's audience targeting strategy post cookie. They're also looking at first-party data. They're looking at contextual data. They're looking at maybe cohorts or segments of users. And many of those things, all of those things are better when they're done on the sell side because that's where the consent is coming from the consumer.  There's no incremental hop. There's more efficiency from a carbon perspective. So there's a lot of benefits that come from moving targeting to the sell side and that seems to be in line with what privacy regulators are looking for where they want to see less bidstream data flowing across the ecosystem. And so that's really represented in our Connect platform. And as we talked about in the prepared remarks, we're seeing increasing traction with that as the potential for the Google Chrome cookie deprecation draws near. Thank you.
Operator: Our next question comes from James Heaney at Jefferies.
James Heaney: Rajeev, can you talk about the partnership that you now have with FreeWheel? Clearly, FreeWheel [ph] is one of the most important players in the CTV ad market. So just curious about how that partnership works.
Rajeev Goel: So yes, we announced an integration -- advanced integration with FreeWheel, I guess, about a month or so back which really opens up opportunity for customers -- our customers that are using ACTIVATE to be able to access significantly more CTV inventory, inventory that's sitting on the FreeWheel platform. And so for us, as you mentioned, James, FreeWheel is a leading ad server for CTV, -- many traditional broadcasters use FreeWheel both in the U.S. and within Europe. We've had a long-standing partnership with FreeWheel and so this just really expands our partnership into our latest supply path optimization product offering of ACTIVATE. It should give us significantly more impression or inventory opportunity which we think will make activate more attractive to buyers and should lead to higher revenue flowing through ACTIVATE over time.
James Heaney: And then, just a follow-up. Maybe for Steve, can you explain why CTV was down 3% year-on-year in the quarter. You're clearly comping over 150% but I'm just assuming that's off a small base. So anything about the decline would be helpful.
Steve Pantelick: Sure. You're right. We grew sequentially from the third quarter -- from the second quarter which is obviously important from the momentum of the business. As I commented on earlier, what you're seeing broadly speaking but I'll comment specifically on C2B is over the course of the last 3 or 4 quarters, there has been gradual declines in CPMs for CTV. So when you look at a point in time, the cumulative effect of that is more significant. So the positive news is that we've been growing our monetizing pressures significantly double digits. And we anticipate that to continue into the fourth quarter. So overall, we feel that the business is in quite healthy shape. And for the various points we raised regarding our initiatives around SPO, the progress that we commented on in our prepared comments regarding the private marketplace and programmatic guarantee all support the long-term vitality of our CTV business.
Operator: And our next question comes from Mauricio Munoz at Raymond James.
Mauricio Munoz: Rajeev and please. You previously talked about areas of investment that should position the company to capitalize on opportunities coming out of the downturn. You obviously unveiled and made significant traction with Activate and convert. How should we think about the investment cadence going into 2024? And then maybe as a follow-up, can you please talk about the pace and traction on some of these ongoing initiatives, particularly as they relate to CTV and how could they position you for 2024?
Rajeev Goel: So I'll take the investment, nice to connect with you. So from our perspective, something that we've learned over many years is that we have taken the opportunity in challenging macro environments to get more traction, gain market share. And we've been able to do that through investment in innovation, people and infrastructure. And so the last 1.5 years have been exactly that environment and we've continued to invest -- we've had some of the most rapid development cycles than we've had in the history of our company. And the reason we can do that is because we have such a strong financial base.  We have a terrific business in terms of the core fundamentals. We have strong margins. We generate significant free cash flow. And we know that when we've invested in the business, we're able to generate significant upside. So we're not going to change that. And so the only decision that we need to work through which is what we're doing right now is the rate of investment looking ahead into the future. And so we fully anticipate to keep our foot on the accelerator because of the significant opportunity out there for us. The regive called out the importance of the sell-side platform, that's just getting more important. We're going to be a significant beneficiary as consolidation continues. And so we're going to reinvest some amount of our incremental profitability back into the business and we fully expect to continue to grow the top line and our market share over time.  Mauricio, on the second part of your question, when we think about what are the most exciting growth opportunities in the industry, it's really around supply path optimization, so getting closer to buyers and capturing a greater share of their ad budgets and return for greater efficiency and greater control on their part, omnichannel video, so both connected TV as well as online video. Just as a reminder, online video is still multiples of the size of connected TV in terms of TAM or opportunity commerce media and then addressability. And so these are squarely aligned with where our investment portfolio sits over the last 18 months. And that, of course, is not by accident.  As Steve described, when we get into a downturn or a soft patch in terms of the macro environment, we really think about where is the industry headed when the inevitable upturn comes and then we align our innovation or investment portfolio accordingly. So our intent is to be really well positioned with the fastest-growing segments when we come out of this downturn, right which hopefully we'll start to see in the next couple of quarters, although nobody knows for certain. And hopefully, we'll also see a firming up of the display market which is still about 2/3 of our business. And all of that combined should push us to market share gains, as Steve mentioned.
Operator: Our next question comes from Dan Day at Riley.
Dan Day: So Steve, I think we talked a few months ago on ACTIVATE, just how advertisers are likely to take sort of a crawl walk-around approach with something like it, starting with really small test budgets getting comfortable with it, ramping over time with more significant budgets. So maybe if you can just talk about where you are right now? Are we still in the test phase with really all of them? And any advertisers starting to move past that? It could be a more significant growth driver maybe in the first half of next year?
Steve Pantelick: So as we've called out when we launched the product and on progress over time, this is really a product that's a great product market fit for us. It leverages our platform, it leverages our publisher relationships -- our buyer relationships. And so we are seeing a very robust pipeline in our prepared comments. We mentioned that 50 opportunities that we're going after across the globe. We recently launched in APAC. And we are in the ramp-up phase. Of course, it depends on the cycles for an agency or an advertiser. We share the specifics, the excitement from a global advertiser like Mars in terms of what they see in the product and their plans for the future.  So our goal is to make sure we continue to lay the foundation, establish these relationships, get into the investment cycles of the agencies and the advertisers and often contract does go through a testing process and then expansion of the budgets. I don't anticipate material benefits to the top line until the second half of '24 as we get more into the ramp-up in the investment cycle of these partners. But the way to think about it from an investor's perspective is this is a multiyear runway. So we are taking the time to make sure that we develop the product in ways that ultimately match the opportunity and we're very positive about the progress we've made.
Dan Day: And if I could just follow up with one on convert, other product you're looking to scale here. Just how are connotations with retailers and the other commerce partners going so far? There's a couple of kind of more established specialized retail media ad tech vendors out there targeting that admin to long tail. So just talk us through how you cut through that and differentiate is the easy answer that there's room for multiple solutions. They don't -- they're not choosing one or the other is retail media a little different and they might not want to work with 10-plus SSPs like they do in the Open Web.
Rajeev Goel: Sure. Yes. Dan, I can take that one. So I think there is a case of truth to what you're saying, certainly which is that the industry is still quite early in the Commerce Media evolution and opportunity. So yes, there are obviously some folks that are already playing in this space. But we see the vast majority of the opportunity really has been white space. And so we are going after opportunities where we can bring together a suite of offerings with on-site monetization, sponsor listings as well as display and video, along with off-site monetization. So that's inventory, our audience extension and use of first-party data to be able to scale retailer’s budgets. So with the launch of Converto, we have a unified platform that can bring all of these use cases together and deliver that to commerce media participants. And we're seeing that as commerce media participants look to scale their business from maybe an initial set of dollars to a bigger portion of their ad business than having a comprehensive platform can be quite useful. So that's really where we're focused in terms of the opportunity set.
Operator: And our next question comes from Maxwell Michaelis at LakeStreet.
Maxwell Michaelis: Just one for me. I was wondering, I just want to tie back to convert. I just want to know if it's kind of in line with initial expectations you had. I know this is the first quarter that you've launched the product.
Rajeev Goel: Yes. I would say, so far, it is in line with our initial expectations. As you said, it's still very early. The sales cycles here are not short, right? This is an enterprise software sales cycle. So I think we're looking at several quarters for a sales cycle but we've seen, I think, a lot of enthusiastic reaction. Obviously, we had a number of great launch partners when we did launch and our pipeline is looking pretty healthy here. So I would say in line with expectations, although certainly still very early going.
Operator: We have time for one more question. Matt Condon from JMP.
Matt Condon: Just one for me. Maybe just with Google's Privacy Sandbox API moving bidding from the exchange into the browser. Can you just talk about how that changes the offering for SSPs and maybe just the competitive dynamic there?
Steve Pantelick: So a key part of Privacy Sandbox from Google is shifting the auction environment and the data used in that auction environment into the browser, right, to make that privacy safe. So that is a pretty, I think, significant shift in terms of the infrastructure required to monetize an ad impression. And so we've got a team of engineers that are working on this. As I mentioned, we're working with Google and testing those APIs. I think it's still quite early going. I think there's still a number of unknowns as we are in conversation with the Google team about how things will work and how they'll scale. So I would say it's still pretty early going in terms of validating do these APIs work and how transactions will be processing will be scaled up. But to your question, it is, I think, a pretty meaningful shift in terms of infrastructure. And I think given that we own and operate our own infrastructure and have a great degree of control and flexibility, we feel like we should be in a good position to be able to build in the way that we want to build it.
Operator: At this time, there are no additional questions. I'm going to turn the call back over to Rajeev for closing remarks.
Rajeev Goel: Thank you, Stacy. I want to thank everyone for joining us today. This quarter, we delivered strong execution and market inflection point for revenue growth in Q4. I couldn't be more excited by the momentum we're seeing across our business and investments we've made that are accelerating our business. Sell-side technology is increasingly relevant to digital advertising publishers and buyers and we are at the forefront of that opportunity. And of course, underpinning our success is our durable model, including healthy cash flow and a strong balance sheet. We look forward to seeing many of you over the next couple of months. Have a great afternoon, everyone.